Operator: Good morning, ladies and gentlemen, and welcome to the Andrew Peller Limited Second Quarter 2026 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Wednesday, November 5, 2025. I would now like to turn the conference over to Craig Armitage. Please go ahead, Craig.
Craig McDonald: Thank you, and good morning, everyone, and thanks for joining us. Before we begin, just as a quick reminder that during the call, management may make statements containing forward-looking information. This forward-looking information is based on a number of assumptions and is subject to a number of known and unknown risks and uncertainties that could cause actual results to differ materially from those disclosed or implied. I'd encourage you to refer to the company's Q2 earnings release, the MD&A and other security filings for additional information about these assumptions, risks and uncertainties. With that, I'll turn it over to Paul Dubkowski, Chief Executive Officer. Paul?
Paul Dubkowski: Thanks, Craig, and good morning, everyone. I'd like to thank everybody for joining us today. I'm pleased to be joined by Renee Cauchi, our Chief Financial Officer; and Patrick O'Brien, our President and Chief Commercial Officer. As usual, I'll begin with a review of our operational and strategic highlights from the second quarter, and then Renee will walk us through the financial results. As we push to the end of our 2025 harvest, I am pleased to report that the harvest in Niagara is coming in as expected with strong yields and good quality. We're also very pleased to see the return of harvest in the Okanagan Valley this year, after a challenging year last year due to the extreme cold weather events. While we will still not be back to 100% for a few years, it is very encouraging to see the activity in the valley this year. A huge thank you to our supply, operations, winemaking teams, our farmers and to all partners who are helping deliver a successful harvest. As we step back and look at the industry from a macro perspective, the industry and consumers continue to navigate the evolving Ontario retail landscape. There is ongoing growth in the better-for-you and sparkling categories, and we see more and more consumers developing an affinity for domestic products and turning to Made in Canada offerings. Given our leading market position, portfolio breadth and focus on consumer-centric innovation, we are well positioned to capitalize on a sustained shift in the industry and consumer behavior. Perhaps more importantly, for our medium- and long-term growth, we continue to be encouraged by the government's commitment to a strong and competitive wine industry with best-in-class policy that is driving investment domestically and will have a significant economic impact across the regions, provinces and all of Canada. At Andrew Peller, we are investing in infrastructure, equipment, processes and people so we can purchase more locally growing grapes, expand our production capacity and introduce new products that showcase the richness of Canadian wine at a time when there is growing awareness and affinity for Canadian-produced wines. Turning to our Q2 financial results. It was another very strong quarter overall, with increased margins and profitability, highlighted by 18% growth in EBITDA and a 96% increase in net earnings. At the same time, we continue to improve working capital and reduce debt, further strengthening our balance sheet and creating capacity for our growth initiatives. From a top line perspective, our sales decreased year-over-year, which was an expected result given the impact of the LCBO strike in last year's Q2. As we discussed at the time, this drove a significant increase in sales from our retail stores as our team quickly mobilized to meet consumer demand with the LCBO being closed for close to 3 weeks last Q2. Excluding the impact of the strike, our Q2 sales grew year-over-year, reflecting multiple revenue drivers. As we aim to be the fastest-growing wine company in English Canada, one of our strategic pillars is focused growth in our core wine business. For the fiscal year-to-date, I'm pleased to report that we have gained share over the prior year in English Canada and across all major markets for Andrew Peller. Our states in the East and the West also performed well in the quarter. Q2 is typically a strong quarter with higher traffic in the summer months, and we're also benefiting from the trend of Canadians favoring local destinations. We have world-class properties, and our teams are delivering exceptional experiences, helping visitors discover great Canadian wine, while deepening their connection to our brands. Among the recent highlights, Trius Restaurant in Niagara earned a second Michelin recommendation, one of the very few establishments to receive this honor. Another strategic focus for the company is winning in critically evolving markets, and we have seen this through our continued strong performance in grocery and big box stores as the Ontario retail market continues to evolve. We've placed a significant emphasis on these 2 channels with the expectation they will make up a growing percentage of total category sales as consumption shifts over time. Our broad portfolio offers a combination of quality, innovation, familiarity and approachability, making us well positioned to win as consumers shop in these expanded retail settings. As you've heard from us in recent quarters, our team is also highly focused on winning in growth categories, including better-for-you and sparkling, Honest Lot, a zero-sugar offering continues to be among our fastest-growing brands, and our sparkling portfolio is also performing extremely well. We've invested in additional Charmat tanks to increase our sparkling capacity and capitalize on this growing demand. Looking ahead, we have an exciting road map of innovation covering both new product and new packaging. So please stay tuned. Turning to our other financial measures. We reported significant growth in our margins and profitability, strong cash flow and reduced leverage. In short, the business is on a very solid footing and poised to use its balance sheet to support future growth and drive shareholder value. Prior to passing it over to Renee to talk about our financials in more detail, I would also like to highlight our recent announcement from yesterday that Susan O'Brien is joining the Andrew Peller Board as an Independent Director. Susan is currently the Executive Vice President and Chief Transformation Officer at Canadian Tire with the previous role being Executive Vice President, Chief Brand and Customer Officer. Susan brings extensive experience in the consumer goods and retail sectors with significant expertise in customer experience, brand strategy, digital transformation and data-driven growth. We're excited for Susan to join the Andrew Peller team. With that, I'm going to pass it over to Renee.
Renee Cauchi: Thanks, Paul, and good morning, everyone. As Paul mentioned, we are very pleased to deliver another solid quarter with growth in margin, EBITDA and earnings, while continuing to invest in our future growth. Second quarter sales were down year-over-year as expected, given the impact of the LCBO strike last July. We otherwise saw growth led by strong performance in several of our well-established trade channels, specifically in Western Canada, driven by the success of our BC replacement program. The growth also reflects expanded distribution in the Ontario retail market with increased sales coming from grocery and big box retail channels. These factors are offsetting some of the softness from our personal winemaking business. Our gross margin in the second quarter was $48.3 million or 45.7% as a percentage of revenue, up from 42.4% in the same period last year. This improvement is driven by the ongoing efforts of our team to deliver on the cost savings program we implemented in previous years, which has lowered costs for glass bottles and inbound freight, which are 2 major inputs. Additionally, Q2 results included $2.4 million from the Ontario Grape Support program, which was not in effect during the second quarter of last year. Excluding the impact of this program, gross margin expanded to 43.5%, representing strong growth year-over-year. Selling and admin expenses were $27 million for the quarter, down 5% from the prior year. This improvement reflects cost savings realized through prior restructuring initiatives. EBITDA increased by 18% to $21.3 million in the quarter, up from $18 million in the prior year, which is due to favorable margins as a result of continued cost savings in the Ontario Grape Support program. Interest expense also decreased by 28% compared to the prior year due to lower average debt levels and lower interest rates. Looking at our balance sheet. At the end of the quarter, inventory decreased to $141 million versus $170 million at the end of fiscal 2025 due to lower cost inputs and our disciplined approach to managing our inventory. With harvest wrapping up, we will see these inventory levels increase accordingly, consistent with historical patterns. The Q2 year-to-date results also highlighted continued cash generation and further debt reduction, which reflects our efforts on working capital management, cost reductions and overall operating efficiencies. In the second quarter, we generated $37.9 million in cash from operations compared to $40.8 million in the prior year. Our net debt position stood at about $159 million at the end of this quarter, down from $180 million at fiscal year-end, and our debt-to-EBITDA ratio was about 2.3x on a rolling 12-month basis. Thank you, everyone, and I'll now pass it back to Paul for his closing remarks.
Paul Dubkowski: Thanks, Renee. It's definitely been a really strong first half of fiscal 2026, and this is clearly showing up in our results with our improved profitability and a strong balance sheet. Our team continues to adapt effectively to the shifting market dynamics and evolving consumer preferences, enabling us to outperform the category and gain share. Our strengthening fundamentals are reinforced by growing government support for a resilient and competitive domestic wine industry. We remain confident in the long-term future of Canadian wine and are proud to play a leadership role in its continued evolution. With a solid financial foundation, our team is energized to pursue growth opportunities, both organic and inorganic, that advance our goal of becoming the fastest-growing wine company in English Canada, while creating sustainable value for shareholders and all stakeholders. To finish, as always, I want to thank our Andrew Peller teammates for their passion and commitment to our company and to the domestic industry in Canada. With that, I'll now turn it back to the operator for any questions.
Operator: [Operator Instructions] Now our first question comes from Nick Corcoran with Acumen Capital.
Nick Corcoran: Congrats on the strong quarter.
Paul Dubkowski: Thanks, Nick.
Nick Corcoran: Just the first question, you mentioned in your prepared remarks that the harvest in Ontario and BC has been pretty good. Any additional color on the yields and quality?
Paul Dubkowski: I think we've seen -- as I said, Ontario has been a strong harvest as expected with strong yields and very good quality. So very pleased with the harvest in Ontario. In terms of the West, as I mentioned in the prepared remarks, a couple of tough weather events a few winters ago that impacted our harvest last year. It has rebounded well. We are definitely a few years away from it being back to historical levels. But the fruit we are getting this year is of good quality, and it is good to see kind of the renewed vibrancy in the valley and that activity.
Nick Corcoran: Great. And then you mentioned some investments you're making in the sparkling category and other products. What are you expecting for CapEx in fiscal '26 and fiscal '27?
Paul Dubkowski: Yes. I mean I think -- and I can pass it to Renee if there's any additional color. But what I'd say is our investments are really focused on the growth areas in and around wine. Sparkling is one of those areas. We do the traditional method, which is more the champagne style and then the Charmat method, which allows us to reach a different consumer at a different price point in a different time frame. So again, investing around sparkling and then investing in better-for-you in those other growth categories. In terms of our overall capital spend, that was in our expectations, and we do not expect to have to increase that number in order to accommodate these investments.
Nick Corcoran: Great. And maybe one last question. Any update on [indiscernible]?
Paul Dubkowski: Yes, happy to do that. It remains an active file for us. We're having continued conversations with multiple developers and the city. We really are just evaluating the highest and best use from a monetization standpoint for us, whether that is residential, whether there's a pivot to industrial that highest and best use and path to monetization is important. We do acknowledge the real estate market is a bit bumpy. We see that certainly in the Toronto, Greater Toronto area and out in Vancouver and the Lower Mainland. But what I will reinforce based on my conversations, we have a valuable piece of property. It's really a question of timing and getting the right price, and I'm confident we will, but it's just got to be the right time to sell it. So I've historically talked in that 12 to 18 months, that's been for several quarters. So we're still aiming for that, but we just want to make sure we -- when we do monetize it, we get the right price and the right value for our shareholders.
Operator: [Operator Instructions] Okay. It seems there are no further questions at this time. I will now turn the call over to Paul -- I'm sorry, Paul, we do have one question lined up with Luke Hannan with Canaccord Genuity.
Luke Hannan: I appreciate it. I got dropped off the call for whatever reason. So I apologize if this got asked, but I did want to circle back, Paul, on your comments on the Ontario retail market, it does continue to evolve, but it does sound like you're putting increased emphasis or more focus on grocery and big box, and you guys continue to do better there. So maybe a couple of follow-on points to that. One is what's underlying that focus on grocery and big box? And then secondly, how are you thinking about now that we're going to be facing periods where there is that initial fill or load into that category? How are you thinking about comping against that for, let's say, the next 12 months from here?
Paul Dubkowski: Yes, that's a great question. I'll pass it over to Patrick to take a lead on that one.
Patrick O'Brien: Yes. So again, I'll comment a little bit about, again, big box and again, how that's continuing to evolve. So I think from our perspective, we do see big box and grocery as key strategic channels within the Ontario wine category. Bold will be -- will continue to be a big priority for us going forward. We have very strong momentum within both channels. And I think it's fair to say that APL continues to over-index in these channels. So again, we do see that trend continuing and both are, I think, big priorities for us. On the second part of your question, just around kind of comping call it year 1 of retail modernization, I think with the momentum that we have and I think the assortment that we have and the size and scale of our portfolio and the breadth of our portfolio, we feel that we will navigate comping the load-in, we call it from last year. So again, I think just with the year in and again, the portfolio that we have, the relationships from a customer perspective and again, the size, scale and depth and breadth of our portfolio, we believe, sets us up for success as we move forward.
Luke Hannan: Got it. Okay. And then just, I guess, a follow-up or a clarification then. So the performance during the fiscal second quarter was strong. It does sound like that momentum has carried forward thus far into the fiscal third quarter.
Paul Dubkowski: Yes. I mean, Patrick highlighted it, Luke, that momentum has been strong. We expect that to continue over the back half of the year. And just from a soft outlook standpoint, we think we're going to have a strong year and see growth on a year-over-year basis top line when you adjust for the strike. And that is our expectation and do expect to continue to see improved margins and that dropping to EBITDA on a full year basis.
Operator: [Operator Instructions] Okay. So no further questions at this time. Please go ahead, Paul.
Paul Dubkowski: Great. Thank you. Thanks again, everybody, for joining us today. We're really excited about our Q2 results and certainly energized for the back half of our fiscal year, and we look forward to connecting again with everybody when we release our Q2 results. Thank you. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.